Operator: Good afternoon everyone and thank you for participating in today's conference call to discuss Concrete Pumping Holdings' Financial Results for the First Fiscal Quarter Ending January 31, 2020.Joining us today are Concrete Pumping Holdings' CEO, Bruce Young; CFO, Iain Humphries; and the Company's External Director of Investor Relations, Cody Slach.Before we go further, I would like to turn the call over to Mr. Slach to read the Company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Cody, please go ahead.
Cody Slach: Thanks, Kevin. I'd like to remind everyone that in the course of this call, to give you a better understanding of our operations, we will be making certain forward-looking statements. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from such statements. For information concerning these risks and uncertainties, see Concrete Pumping Holdings publicly available filings with the SEC.The Company disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. On today's call, we will also discuss adjusted EBITDA, which is a non-GAAP financial measure that adjusts reported figures for certain items. We believe the presentation of this non-GAAP financial measure is useful because it provides investors and industry analysts the same information that we use internally for purposes of assessing our core operating performance.For a reconciliation of this measure to net loss, please refer to the press release issued today or the investor presentation posted on the Company's website. Also, please note that on December 6, 2018, we consummated the previously announced Business Combination, where we acquired the formerly private company, previously known as Concrete Pumping Holdings, Inc., which we refer to as CPH and the former SPAC, called Industrea Acquisition Corp, which transactions we collectively refer to as the Business Combination. In connection with the closing of the Business Combination, the Company changed its name to Concrete Pumping Holdings, Inc.Finally, the financial results described today for dates and periods prior to the combination relate to the operations of the formerly private company CPH. For additional information, please see our quarterly report on Form 10-Q that we will file today, which includes the financial statements that we are discussing on this call.I'd like to remind everyone that this call will be available for replay later this evening. Webcast replay will also be available via the link provided in today's press release, as well as on the Company's website. Additionally, we have posted an updated investor presentation on the Company's website.Now I'd like to turn the call over to the CEO of Concrete Pumping Holdings, Bruce Young.Bruce?
Bruce Young: Thank you, Cody, and good afternoon everyone. Before providing an overview of the business performance in the first quarter of 2020, please let me take a moment to comment on a few things about coronavirus.First, our people are most important asset and as long as the virus remains a concern, we will continue to monitor the situation very closely and take proven steps to protect our employees.Second, we believe our company is in a unique position in this current environment and we do not have the supply chain that is dependent upon China. In fact, we maintain a rolling inventory of parts to ensure we are able to continually maintain our fleet and we do not source critical components only or directly from China.On the demand side, at this time we are not seeing the virus caused any impacts to active projects both in the U.S. or the U.K., and we are not seeing any holdup in projects slated to begin in the near future.While our employees in the fields working in open air environment, they have been encouraged to take appropriate precautionary measures. Business continuity plans are in place and regularly tested to ensure we maintain online capabilities to support remote working where required.All employees have been made aware of appropriate hand hygiene practices and symptom recognition. We will continue to monitor the situation closely and update our shareholders accordingly.I will now turn my attention to our strong first quarter financial results, which we have reiterated as which we have us reiterating our full year outlook. The momentum in our business has continued into our first quarter highlighted by top line growth of 27% and adjusted EBITDA growth of 39% that was supported by a 370 basis point improvement in gross margins. Our successful acquisition and integration of Capital Pumping last year continues to drive healthy contribution to these results.Furthermore, our industry is still benefiting from a robust U.S. market and we are generating accelerated growth in our U.S. Concrete Waste Management Services Business. Our U.S. Concrete Pumping Business was strong in the first quarter as we experienced growth in most of our regional markets.It is very encouraging to highlight that our quarterly revenue growth of 35% in U.S. Concrete Pumping segment was outpaced by adjusted EBITDA growth of 59% when compared to the same quarter a year ago.If we include capital's results in our numbers last year, revenue improved on an organic basis by 4% year-over-year. The capital business continues to run smoothly under our platform and as our results show, we are realizing the economic benefit of both companies coming together.Since we acquired the business in May of 2019, we have reallocated approximately 15 units from the combined equipment fleet to other markets where extra utilization was needed. This is a great example of the EBITDAR and cash flow synergies that we identified prior to the capital company acquisition and those that we typically capture by applying our fleet management and equipment redeployment strategies.The fleet reallocation benefits achieved to-date have allowed the Company to defer more than $4 million in gross CapEx investment, which captures the majority of the previously identified fleet synergies. For our U.S. Concrete Waste Management Services segment our Eco-Pan, the large growth opportunity remains intact with accelerated growth percentages of revenue and EBITDA resulting from the new initiatives implemented in our ability to leverage our existing U.S. Concrete Pumping relationships to grow the concrete waste management services business organically.Similar to our U.S. Concrete Pumping performance, revenue growth of 23% in this segment was outpaced by an impressive 39% increase in adjusted EBITDA when compared to the same year ago quarter.In our UK operations, we experienced slight demand headwinds from Brexit related uncertainty and in more recent developments, political tensions of ease, foreign currency exchange translation is improving and optimism has returned to the UK construction industry with UK government underscoring their commitment to push ahead with a multi-decade high speed rail project, HS2. We continue to position our Camfaud brand and reputation prominently in UK region as we expect demand and momentum to pick up.Given our consolidated performance in the first quarter, we believe we are on track with our long-term growth strategy. Our initiatives are supported by the continued positive trends we are seeing across the business and in the end markets we serve and we continue to see significant opportunities for market share gains in the U.S. and UK regions as well as the continued rollout and growth of our Eco-Pan business.Now, I'd like to hand the call over to Iain so he can provide a detailed overview of our first quarter financial results.
Iain Humphries: Thanks, Bruce, and good afternoon everyone. Before getting into the details I'd like to remind everyone that we refer to adjusted EBITDA, which is a non GAAP financial measure and a reconciliation from net loss to adjusted EBITDA can be find in the press release we issued earlier today.Also please keep in mind our business is seasonal with approximately 45% of revenue is generated in the first half of our fiscal year and 55% in the second half. Additionally, our profitability is typically back-half weighted while capital expenditure is largely front-half weighted as we take delivery of new equipment in the earlier months of the fiscal year to ensure we maximize our fleet uptime in our busiest periods.Moving into our first quarter 2020 10 results, we generate strong top line revenue growth as Q1 revenue increased 27% to 73.9 million compared to $58.4 million in the same year ago quarter. The increase was largely driven by the contribution from the Capital Pumping acquisition and organic growth within Brundage-Bone and Eco-Pan.On a pro forma basis, which include the results of acquisitions both pre and post transaction, our Q1 revenue increase by approximately 5%. Adjusting the pro forma revenue on a constant currency basis, revenue was up by 4%. In the first fiscal quarter, revenue in our U.S. Concrete Pumping segment mostly operated under the Brundage-Bone brand increased 35% to $55.1. The Capital Pumping acquisition, which added additional pumping capacity to our Texas market, drove approximately $12 million of the year-over-year increase.Additionally, we experienced notable improvements in most of our other regional markets including Idaho, Georgia and our West Coast operations. Q1 2020 revenue in our U.K operations operating largely under the Camfaud brand was $10.7 million compared to $11 million in the same year-ago quarter. Demand headwinds brought on by Brexit-related uncertainty primarily drove a 4% decline in revenue, it was partially offset by improved foreign currency translation.Revenue in our U.S. Concrete Waste Management Services segment operating under the Eco-Pan brand increased 23% to $8.3 million in the first quarter. The increase was driven by robust organic growth in the majority of the markets and higher utilization of our assets. We experienced strong growth in our next tier markets as we continue to integrate the Eco-Plan service and our Concrete Pumping footprint. At the end of Q1 2020, pans in the field, which is a leading indicator for future pickups were 27% higher compare to same year-ago quarter.Turning back to our consolidated results, gross profit in the first quarter increased 38% to $32.1 million compared to same year-ago quarter and gross margin at 43.5% increased 370 basis points compared to last year. The increase in gross margin was primarily due to the post acquisition contribution from Capital Pumping more favorable fuel pricing and continued improvement in our supply chain procurement costs.General and administrative expenses in Q1 were $26.6 million compared to $18.6 million in the same year-ago quarter. As a percentage of revenue, general and administrative expenses were 36% compared to 31.9% last year. The increase was largely due to higher amortization of intangible assets expense of $3.1 million, most of which was the result of the acquisition of Capital Pumping and an additional $1.4 million in stock-based compensation expense as a result of the stock grant in April, 2019.The remainder of the increase is mostly attributable to headcount group, predominantly from the new team members added with the Capital Pumping acquisition. Net loss attributable to common shareholders was $3.2 million or $0.06 per diluted share. This compares to a net loss of $26.6 million in the first quarter of fiscal year 2019.Please note that our share count increase in 2019 third quarter as a result of our equity offering related to the Capital Pumping acquisition that was completed in May 2019 and the exchange of 21 million warrants for 3.8 million shares of common stock.Finally, adjusted EBITDA in the first quarter increased 39% to $23.8 million compared to $17.1 million in the same year-ago quarter. Adjusted EBITDA margin improved by 280 basis points to 32.2%. Revenue growth, gross margin improvement and procurement savings in parts and fuel drove the strong margin expansion.It is important to note our businesses in the U.S. create substantial financial adjusted EBITDA improvement well in excess of the impressive revenue growth. Our U.S. Pumping business adjusted EBITDA increased 59% to $16.8 million on the backs of 35% revenue growth. And in our U.S. Concrete Waste Management business, adjusted EBITDA increased 39% to $3.8 million on the back of the 23% organic revenue growth.Turning to the balance sheet. As of January 31 2020, we had $433.5 million of net debt and that was made up of $2.6 million in cash and $436.1 million in total debt. This equates to a pro forma ratio -- pro forma leverage of just less than four times at the end of the first fiscal quarter. As a reminder, our business generates healthy free cash flow as we invoice our customers daily for the work we perform, and we have minimal working capital requirements as we do not take ownership of the concrete we place.We believe that ability to generate strong free cash flow along with our strong margins have been enhanced with the acquisition of the accretive Capital Pumping business provides us with the ability to de-level and strengthening the balance sheet over time.During the first quarter, we invested 15.7 million in net capital expenditures, which is slightly elevated from the quarterly historical trends as we have the opportunity to accept delivery of equipment early, and this allowed us to get in front of our busiest uptimes and improve on project execution. This is purely a timing difference compared with the prior years and does not impact our full year expectation that net capital expenditures investments for the year will range between $35 million and $38 million.Our financial outlook for fiscal year 2020 that means consistent with what we laid out last quarter and we continued to expect construction activity on our end markers to remain robust. We have high visibility in our financial and infrastructure work which accounts for nearly 70% of our revenue and we are confident of our current projects outlook in the U.S. which is much stronger today when compared to this time last year.With that, I will now turn the call back over to Bruce to provide additional color of our outlook and reiterate our strategic priorities for fiscal year 2020.
Bruce Young: Thanks Iain. Just to reiterate, our first quarter of fiscal 2020 delivering results are in line with our expectations and our growth strategy that we outlined on our last call remains intact. This includes organic growing the Eco-Pan brand and gaining market share in our U.S. and UK markets as well as continuing to drive revenue and expense synergies from the additional Capital Pumping.We have several large projects kicking off in the first half of 2020 with organic growth expected in most of our key regions. These projects include major campus rebuilds, office buildings, parking garages, data centers, distribution centers, hotels and medical buildings. These projects are spread throughout the U.S. market.In Eco-Pan, we see significant opportunity to increase penetration and expand our customer base both through cross selling to our U.S. Concrete Pumping and Camfaud customers and through organic customer acquisition. The new Eco-Pan leadership, which we added last year, has helped to execute on this strategy more effectively by creating great synergies with our Concrete Pumping service.Looking ahead to the rest of the year, we remain committed to the priorities we laid out on our last call. They are focused on driving organic EBITDA growth and free cash flow generation. We expect this will come from steady growth in our U.S. market, successfully cross-selling on Eco-Pan offering as well as proven cost management and other benefits of scale brought on by the acquisition of capital.Given these dynamics, we still expect full year revenue in fiscal 2020 to range between $315 million and $330 million and adjusted EBITDA to range between $110 million and $115 million. We expect a large portion of our free cash flow to be allocated to reducing our leverage ratio, and we are targeting a 3.5 times leverage ratio at the end of 2020 fiscal year. We expect to maintain stable annual CapEx investment in our equipment in fiscal 2020 and continue to work towards our goal of strengthening our balance sheet.Finally, we expected any M&A opportunities we pursue in the near term will be a creative tuck-in as we continue to develop the Capital Pumping synergies and deliver the business. We are encouraged by the continued success in its first fiscal quarter of 2020 and we remain confident that our current strategy will continue driving long term shareholder value.With that, I'd like to now turn the call back over to the operator for Q&A.
Operator: [Operator Instructions] Our first question today is coming from Andrew Wittmann from Robert W. Baird. Your line is now on.
Andrew Wittmann: I wanted to start with some questions that I think are topical for the investors and understanding here that your quarter was quite strong with very good growth and nice margin expansion. I think the market is looking -- the questions that I have are on the forward look about some of the concerns here in the macro environment. So specifically Bruce, in the past, you've talked about how, you know, most of your work is kind of aligned from Seattle to Atlanta or Charlotte, I guess. And everything beyond that included in those geographies are a lot of markets like Texas, maybe some work in Louisiana, I don’t know, New Mexico. I'm just kind a curious either Bruce or Iain, if you could help us understand the percentage of revenue that you get from States that have larger energy exposure? Just so that we can understand how you might be affected or think about how the business might react to in those markets where there could be some oil pressures from the economy there?
Bruce Young: Yes. Thanks Andrew. And so to be clear, we don't do any work on a well sites are directly related to the energy industry and we do support buildings, infrastructure and other things that are there to support that business or that entity. Now, what we've found in the past is that, we use a lot of fuels in our equipment and so that has the energy markets especially oil declines, the fuel prices decline with that and the benefit to the Company is actually greater for this fuel savings than it is for revenue loss because working in the energy industry.
Andrew Wittmann: Can you just remind us what percentage of revenue is fuel cost?
Bruce Young: It's about 5% Andrew.
Andrew Wittmann: Okay, that's helpful. And then maybe just similar question again, I think it's something that everybody's wondering today and Bruce, you talked about this a little bit, but, can you just talk about for somebody who's been in this business a long time, what the business looks like in an economic slowdown? What do you see in the revenue trends? And how does that impact your margins? And what kinds of things do you do operationally, if the markets are not as points that they have been for the last couple of years?
Bruce Young: Yes. And so as we look at it, we've been through several cycles and what we've learned in nearly all cycles that all end markets and all geographies don't cycle at the same time. And so we're careful to make sure that we're not too heavily weighted into anyone end market or anyone's geography, which as you can see with our footprint, and by the way, just from that line from Seattle to Charlotte, we've largely don't do anything to that line.So with the geographic diversity and the end market diversity, we think we protect ourselves some from that. Now, if they're clearly as there is a significant downturn that affects all operations, 70% plus of our businesses variable cost and we'll make sure that we keep those variable costs in line and if it gets extremely significant, we can shut off CapEx or even turn a negative we need to do.
Operator: Our next question today is coming from Stanley Elliott from Stifel. Your line is now live.
Stanley Elliott: Hey guys, thank you all for taking the question. Excuse me. Could you give us an update on HS2? Exciting news to see that UK moving forward on that, maybe remind us of the duration of the project and also kind of remind us when you go think potentially we'll start to see concrete getting pumped here?
Bruce Young: Stanley, this is Bruce. Now, the HS2 project has been approved and supported by the government. There's a substantial amount of the excavation that has already taken place or is in the process being taken being performed now. We are in the process of trying to secure work on that process. We're doing some small projects, but the more significant portions will come later on. We do expect to start seeing more significant revenue coming of that project by the end of our fiscal year, which is fall of this year.And then, we see that extending well into the next several years. So there's two phases. And so phase two is the phase that we're working on now that extends from London up into the Birmingham area that should take maybe five years and then there's a second phase that would take into the Northern portions of England that would run much longer than that. That enlarge from start to finish it could be running into at least 10 years that maybe even into 20 years.
Stanley Elliott: That's great. Kind of switching gears, on the Eco-Pan business, I think you said 27% higher pans out in the field. Can you frame that out? Like, I'm just trying to get a size of the growth opportunity here, maybe how many more of your locations can you bring this service to where are we in terms of your view on penetration here?
Bruce Young: Yes. So, we had 23% revenue growth in the first quarter and we see something similar to that, continuing on through the year. Our focus this year has really been on our Tier 1 and Tier 2 markets, our largest markets in the next year down where we found that there's much more opportunities there than what we had seen in the past. And as we focus on those markets, we're capturing more share and creating more rough densities, improving our margins.And so, those two areas are the areas that we're focused on right now. We've been as you know, last year, we didn't grow in the first half of your stats as we'd hoped. We've bought all the assets to do that. So, those assets are now all fully utilized and we're looking to add additional assets as part of our CapEx strategy that we've laid out. It would be included in that to continue that growth with Eco-Pan and those markets without actually having to go into any new markets this year.
Stanley Elliott: Great. Then lastly for me, I apologize if you said it. Can you talk about the pricing environment that you are seeing out there? Maybe, I don't know if you want to go as far as kind of parse out the 4% between price and volume, but I'd just be curious just to see on how the discussions are going with customers on the forward look business.
Bruce Young: So we're seeing pricing and organic growth consistent with what we've talked about in the past was a 4% being split between price and build hours in the Concrete Pumping portion now, obviously our contractors they have an obligation to make sure that they're getting the best deal on their projects and our responsibilities and make sure that we're providing good value. And we have a lot of very technical projects right now and the more technical projects we prove out value more easily than we do on some of the more simple projects. So, we see being able to that to help benefit our business throughout this year.
Operator: And the question is coming from Tim Mulrooney from William Blair.
Tim Mulrooney: So to start off on the guide, I know you touched on this, but I was a little surprised to see that you maintain guidance, which is great news. But given most of our companies, they've been lowering their numbers in the face of increased macro uncertainty. I heard you say that you aren't experiencing any delays in current projects. But with your discussions with customers, has there been any indication of a push out of future projects? Or any signs of changing behavior in the backlog of the pipeline?
Bruce Young: No, not currently, our customer base is pretty optimistic about the workload this year. Now, everybody's mindful about the coronavirus, and if it becomes a long term issue that there may be some effect of that. But as we see it today, we're very comfortable that things will continue as we expect.
Tim Mulrooney: Okay. Just wanted to confirm. And switching gears on the supply chain, I know you typically make most of your capital investments in the first half of the year. I thought maybe you procured some of your pumps from China. I guess I was wrong about that. Can you just remind us where you typically procure most of your pumps from and how many different suppliers you have in the event of a supply chain disruption? I'm just looking for more color into your contingencies from growth CapEx?
Bruce Young: Yes, good question. So the two main suppliers that we purchased from are both German businesses that are Chinese owned. Currently the products that we buy come from Europe and Germany largely and other parts of Europe. And then they're mounted on trucks and some assembly is done within the U.S. all the parts supply for those machines come from Europe and U.S. as well.We do have some other suppliers that are Korean in nature that have very similar part to some of the German-made units. We do a lot of our wear parts and machine parts for our machines from the supplier to the manufacturer. And so we have very good relationships there and we have a very large inventory of parts that would need to run that out for some period of time.
Tim Mulrooney: Yes. Okay. Maybe just one more from me. You discussed pricing already. I think you said 4%-ish. You usually update pricing at the beginning of every calendar year. Is that right?
Bruce Young: Yes. So it's done in many different ways. So often it's quite project. So as we roll out one project and go onto the next one we'll bit that with any increases that need to come because of inflation, labor, that sort of thing. And other contracts are annual and then they get updated typically in December, just starting to January. Any U.K, we've been a little careful about getting the rate increases out as soon as possible with the Brexit concerns there. But now that we have some certainty on how that will play out, our price increases are being rolled out currently in the U.K.
Operator: Our next question today is coming from Alex Rygiel from B. Riley FBR. Your line is now live.
Alex Rygiel: Can you update us on what your utilization rate was in the quarter? And then circling back to backlog, how does backlog compare today to, say, the previous quarter and the previous year?
Iain Humphries: Hi, Alex this is Iain, so on the utilization from equipment was a little higher than 75%, which is right in line with where we expected to be in Q1 in the fiscal year.
Bruce Young: Now, Alex on the backlog questions, as you know, we can all attract the larger projects. It's very difficult to -- half of our businesses kind of being calling kind of work. Our backlog on the major projects using our specialty equipment is, I can't give you a percentage, but it’s greater than what it was last year.
Alex Rygiel: And then as it relates to the U.S., could you give us a little bit of kind of geographic plus and minus, which markets are a little bit stronger, which ones are a little bit weaker and comments or highlights on the ones that are maybe inflecting into the opposite direction?
Bruce Young: Yes, all of our markets except for two are heading in a better direction than they were last year and largely because those two markets have very large projects last year that were uncommon to those areas. When we use Salt Lake where we did quite a lot of work on the Salt Lake Airport, that work is on hold now until the next phase starts. So that is affecting them and they're slightly going down. And then in Oklahoma, we had two very large projects last year that were uncommon to that market. So that market's upping a little bit this year, but more than offset by the growth in the other markets.
Operator: Our next question is coming from [Rami Mahotra] from Nuclear Capital. Your line is now live.
Unidentified Analyst: Good afternoon, wonderful job on the operation, extremely in process and I have two sort of categories of questions and it's been touched on a lot by the other callers about sort of forward outlook and I think I'm sort of obvious, right, like, a lot of industries are going through an extreme shock travel being sort of traveling energy, let's say, being to really front and center one. And probably, if you ask a hotel or a cruise operator or an airline executive how their business is going only 90 days ago, that they would be very optimistic about it and here it is really turned on a dime. And you know, they're trying to manage liquidity, et cetera, et cetera. And so, what I suspect in your type of businesses is, construction project is funded, approved, its greenlit. And that's, let's say for the next 12 months. But past 12 months, you guys really feel like you have good visibility or is there a real chance that after you've worked through this backlog profits are just not getting lit up because the, uh, the chaos and the financial markets.
Bruce Young: That’s great question. So, we have good visibility for about a year out now. Projects that are started in a way very rarely get shelved unless they run out of funding for the project, which we don't see those things happening now. So we do feel pretty good about where we're at through the remainder of this year. Now depending on how long the coronavirus issue stays in play and how deep it affects that businesses, certainly it could affect things into the future. It's really hard to predict what that might be.
Unidentified Analyst: And you commented that 70% of your cost structure is variable. And is that literally trucks and operators? Or is it more?
Bruce Young: Well, it's fuel, it's parts, it's everything related to the operations of the business.
Unidentified Analyst: And so, if we did see that fall off, the idea is just idle as appropriate or reallocate if you have the opportunity to different markets?
Bruce Young: Yes, I think we would have to see how it affects the different markets, re-allocate assets to where we can get the best return on them. And then, we would look at what our CapEx spend would be to offset what our needs would be.
Unidentified Analyst: Okay. Perfect. And so my next set of questions is more a financial capital allocation, but dovetail with the first set. So Iain, the $110 million of EBITDA guide, am I right that that translates roughly to 85 million or 90 million? 110 million EBITDA is how much of operating cash flow on an everyday basis?
Iain Humphries: Yes. We’re going to have -- if you walk through here, the way we think of it is free cash in the business is less CapEx, less interest and effectively it and just under 40% EBITDA.
Unidentified Analyst: Okay. And when you say, CapEx in that scenario, is that maintenance CapEx or does that include growth CapEx?
Iain Humphries: It's all CapEx. So, we've given some guidance on this call and before about the CapEx range is 35 to 38. So, if you the midpoint on that and that's all CapEx that is planned for the year, including growth.
Unidentified Analyst: Okay. And so, if we use the 110 that you've put out here and 40%, cause that's 45 million or 50 million of after-tax, cash flow for you to allocate. And then, if you're trying to get to the 3.5 times leverage am I thinking about it right, basically, almost all of that goes down to debt pay down?
Iain Humphries: Yes. I mean, first and foremost, that's where our focus in is if you do the math there is some free cash flow leftover and we would allocate accordingly. But yes, I mean that's a focus is to pay down debt, strengthen the balance sheet.
Unidentified Analyst: Fantastic and I think managing liquidity is incredibly important in this environment, especially given the history of the Company. The second with the cut in interest rates, any of the substantial debt that you guys do have you see an opportunity to refinance the debt facilities with the combination of facilities and protects the Company and firm and maybe get better terms or I guess I'll stop there and let you let you respond to that.
Bruce Young: Yes, I think the short answer is yes, absolutely. I mean, I think that the business is well-seasoned now. We're in a much different end market than we were back in December of '18, the Company execution and public information is out there. So there's definitely an opportunity in that area and we are outside of our one year call anniversary. So yes, obviously the market is more favorable today than when we first came out. So that's something we're very thoughtful about.
Unidentified Analyst: Perfect. Then, so just to be a close up, that's something that you guys are actively talking about at the board level and exploring in terms of what the opportunity is.
Bruce Young: Yes.
Unidentified Analyst: Perfect. Well, that's it for me. Congratulations and thank you for all the focus and hard work.
Operator: Thank you. We've reached end of our question and answer session. I'd like to turn the floor back over to management for any further closing comments.
Bruce Young: We'd like to thank everyone for listening to today's call and we look forward to speaking with you when we report our second quarter of 2020 fiscal results in June. Thank you.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.